Operator: Greetings and welcome to the Pressure BioSciences First Quarter 2015 Financial Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to Mr. Richard Schumacher, Chief Executive Officer. Thank you Mr. Schumacher, you may now begin.
Richard Schumacher: Thank you, Manny. And welcome everybody to the first quarter 2015 Pressure BioSciences’ financial review and business update. I’m here, as always with our CFO Dick Thomley. Dick is going to be joining us in a second, as soon as I finish reading this cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause the actual results performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. Such factors include among others those detailed from time-to-time in the company’s filing with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which any such statement is based. So thanks again for everybody joining. Dick Thomley is going to give us a brief overview of the first quarter numbers that you’ve all seen from the recent press release and the 10-K that was filed. And once Dick is concluded, I’ll follow with a few general business updates and then we’ll be pleased to take a couple of questions at the end. Dick?
Dick Thomley: Total revenues for the first quarter of 2015 were $440,134 as compared to $404,147 for the first quarter in 2014; that’s a 9% increase. Our grant revenues in 2015 were $80,770 compared to no grant revenues in 2014. Our previous grants were completed in 2013 and our new NIH SBIR Phase II DNA grant was awarded at the end of 2014. So, we are just beginning to recognize those revenues. The new grant is for approximately $1 million over two years. We expect to be recognizing those grant revenues during that period. Sales of consumables for the quarter 2015 were $39,834 compared with $54,612 for the quarter in 2014. We believe that consumables revenues will increase at a greater percentage in 2015 because of the new micro-Pestle consumables. Operating loss for the quarter was $874,819 as compared with $782,366 for the prior year. We continue to monitor our spending very closely. Loss per common share for the quarter was $0.11 for 2015, basic and diluted compared to $0.25 for the per share loss in 2014. The 2014 loss included $1,280,000 deemed dividend as a convertible preferred stock issue last year. Thank you.
Richard Schumacher: Thanks Dick. As I mentioned, I’ll make a few remarks about the financials and then I’d like to go on to some of the operational successes of our first quarter and into the six weeks of our second quarter and then take questions. We are pleased with the results of the first quarter. This was an all time quarterly record for total revenue, 9% greater than the first quarter of last year and over $20,000 more than our highest quarter ever before. We combine this with our third largest products and services revenue to give us the all time highest revenue we recorded. Our goal of course is to continue to increase upon that this year. And we’re very optimistic that we’re going to be able to continue to increase our total revenue and our products and service revenue quarter-after-quarter this year. We have a lot of things going for us that we’re going to talk about and answer any questions you may have about them. But the main thing here is that number one: We went all of last year without any grant revenue. We’ve talked about it before, grant revenue is important; covers a lot of overhead; it gives us cash to put towards projects that are near and dear to the company that we believe will end up with commercial products at the end. And we had a one year hiatus but we’re back in having the ability to have the government, the NIH in this case, help support our endeavors into the area of sample preparation as it relates to DNA and getting DNA prepared for analysis using third -- what’s called third generation sequencing, one of the most important and fastest growing areas of the life sciences today is third generation sequencing. So, we’ve always known or at least we’ve always felt that pressure cycling can have a play a role in that area but we’ve never had the cash to start showing it. We had a first Phase I which we concluded. And we believe the data was strong enough and that’s why we believe that along with some collaborators who wrote wonderful letters to support our application, NIH came through and granted us this and again we started this. Primarily it starts a little slower and then it grows, so we’ve billed $80,000 basically for the first three months of this year. We expect that to grow but we also expect our other revenue to grow from our products and services. So, it was a record quarter for total revenue. It was our third highest quarter ever for products and services revenue. And if you think about it, I think it’s a remarkable thing that my team did, that we were able to do here. What we had to do was we had to -- last year we benefited from not having any grants. We have three remarkable engineers and scientists in our R&D areas and we’re able to capture some of their time last year that would have gone into grants and use that to help us generate sales, revenue through our products. And it showed by having a record year, a clear record year, almost 30% growth in product sales. In the first quarter, we had to take that time away from our two R&D scientists and our head of engineering and put that into the grants. And so it did adversely affect us a small bit but as we say we don’t think that is more than a short-term adverse effect. We believe strongly that as the months go by that we are going to start looking at increases in our products and services revenue. We will talk about that. Part of that is the expansion that we are currently under, first expansion in, I think over four years in our sales and marketing capabilities. We’ve had very few people that are in that area in this company of 10 but we’ve made a commitment to grow our sales and marketing, now that we have what we think is a product line that will sell very well into the life science area. So, in addition to the $1 million grant during the quarter which we announced in February, there are other major accomplishments that outside of the financials that we had. For instance, we received our first purchase order for our High-throughput System. Remember, our Barozyme HT48 is our new High-throughput System. We placed it in three sites at the end of October and November, December last year, hoping that in one or two months we start getting back some data before we start making a larger build for later this year. We did get a bunch of data back. We’ve made a number of changes, nothing major but we’ve made a number of changes. But we also sold the first unit that we placed as a demo for evaluation and we announced that on February 10th. So, very excited that one of our sites that already has two of our instruments and was really one of the sites that was very much geared up to have us develop this High-throughput System, a system that can run 48 samples simultaneously, all hands off, pretty much hands off. We are very excited that this proof not only evaluated, gave us some good feedback but brought the instrument that they are evaluating. Now in addition in March, we released what we call The Next Generation Protein Preparation System. You will hear a lot about this I think later this year. PCT-HD, it stands for high definition, PCT high definition but it also came from homogenization and digestion which are two key parts of the sample preparation process of proteins. So, we released PCT-HD, is a takeoff or it is part of what one of the top laboratories in the world, one of the top analytical chemists in the world Dr. Ruedi Aebersold from Zurich, ETH in Zurich, what he has done, he published early last year as well as early this year and published a paper in a major journal called Nature Medicine talking about what he calls PCT Swap. Swap is a mass spectrometry method that he used -- that he uses. He combined our front-end with the mass spectrometry in their backend, their data reduction, combined them in the name called PCT Swap. PCT Swap is basically PCT-HD; it uses an enhanced instrument from us and enhanced barocycling from us along with a new consumable that we’ve released called the micro-Pestle. So we have a lot of expectations for PCT-HD. This system includes an instrument which is about $30,000 give or take and it also utilizes these micro-Pestle consumables which have to come from us. So, we are very excited about PCT Swap. We spent several years developing it and they have one of the foremost analytical chemist in the world come out and present and publish on it, is a blessing to us as shareholders in this company and we think remarkable that we have someone like Dr. Aebersold. And now there are others that are using this system. And we expect presentations and publications throughout the year. Also during the quarter, we negotiated -- we did not announce until April 14th but we negotiated and started working on a collaboration with Dr. Pam Marshall at the Southern University at New Orleans. And she received her PhD at the University of North Texas, based on her work with pressure cycling over the last three or four years. And she is now the Interim Director of the Forensics area at Southern University at New Orleans and she understands the power of PCT and she has a number of things that she wants to continue with. So we’re very excited to be working with Pam, again at her new location which is really one of only four predominantly Black universities in the entire country that has a bachelors and forensics program. So we’re very excited to be working with Pam in her effort to enhance this program at Southern University. There has also been six weeks since the quarter ended and during those six weeks we’ve had a number of things that have happened that we’ve talked about, several that we’ve put out in press releases. First of all, our second evaluation of the Barozyme HT, the High-throughput System was being done by Dr. William Funk at Northwestern, at the Feinberg School of Medicine. And he came out with some information and presentations. So, he and his team came out with some work that showed that he thought that this system works extremely well; it was faster; it was easier to use than the methods he’d been using. He is very interested in potential percentages that are in the environment and in other chemicals that are in the environment. And he wanted to know could PCT, especially in this High-throughput format, could it be -- would it extract chemicals such as Cotinine, which is the number one metabolite of nicotine, could it extract these from samples in a way where they could do High-throughput environmental epidemiological studies and his findings were, yes. He and Dr. Ladror and others and on his team did some very good work. They are still using the instrument they presented. We expect that they will probably publish the data and they are going to continue to work in this area using the High-throughput System because he believes and we believe that testing many, many sample, multiple samples, environmental samples looking for carcinogen, potential carcinogens is very important and that is something which Dr. Funk and his team did. And then later in March, there was a meeting, a protein meeting in Tempe, Arizona. And there were some presentations there by our Group as well as in conjunction and in collaboration with Dr. Aebersold’s group talking about using the High-throughput System and talking about using the micro-Pestle PCT-HD. So there were two presentations. And this is very small, maybe 400 or 500 scientists, but very important scientists at this meeting. There were two other presentations and publications during the month of March; one came from Dr. Emily Bruner and Dr. Pat Okubara and their colleagues from U.S. Department of agriculture in Pullman, Washington. And they talked about breaking up cells, breaking a bacteria and recovering DNA from bacteria that are in soil. And they found out that they’ve used the systems before but they found out that the efficacy of PCT was quite good. In fact, even though they didn’t find as many -- as much DNA coming out, they found DNA coming from a higher diversity of bacteria. So, they are looking -- for tests you only need a certain amount of DNA. So what’s really important is to try to get the biggest diversity that you can from the soil as you look for things that are causing our crops to die, as you look to try to fight the pestilence that’s killing the wheat and the barley and the rai. And as what Dr. Okubara and others are doing, they are looking in the soil and they found that PCT was a very good method because not only was it able to extract DNA from bacteria in soil, but they found as I said, a greater diversity, found microorganisms in the soil that the standard methods were not finding. So they published on that; we’re very excited about those data. And also Dr. Hubbell, a good friend of the Company, one of the top scientists we believe in the world and studying proteins through a method called Electron Paramagnetic Resonance or EPR. We think he is maybe the top person in the world in EPR, certainly in high pressure EPR. He also published and talked about the response of different proteins and different parts of proteins to high pressure and how they measured them and continues to believe that looking at proteins using this method called EPR under pressure is going to lead to enhanced drug discovery and drug design and drug development. And he’s leading the charge and he published in April of this year, just last month on PCT. Now what’s exciting about these three that all came out in the last 60 days is that Dr. Bruner and Okubara used our standard Barocycler NEP2320 and our 3229, primarily the 3229 instrument and our PULSE Tubes. These are the instruments that we’ve had out for five years. Dr. Hubble on the other hand used the brand new HUB880 and the HUB440 and used pressure cells, certain pressure cells that are not yet on the market but that we’ve been working on developing with Dr. Hubble’s help. And Dr. Aebersold and Dr. Tiannan Guo and our colleagues that worked on PCT Swap, otherwise known as PCT-HD, they used our new MicroTube and our new micro-Pestles with this enhanced Barocycler called the NEP2320. So, four of our instruments in these three studies were used, four different instruments. And then if you bring in what Dr. Funk did, all five of our instruments have been used by some wonderful groups around the world in the past 90 days and they’ve all presented or published the data, all saying that they got better results faster, better, higher quality, they -- you have to look at the papers, they used all those words and using our systems. And we’re happy of the fact that they used all five of our commercially available systems and all of our commercially available consumables. So, it’s been really a very effective first four and a half months we believe of 2015. We had a very good first quarter with record total revenue. We’ve had wonderful response to all five instruments with publications and presentations and we are committed to doing certain things as we go forward. One is we have talked about this for over a year. We continue to believe that we are making measurable progress in completing and implementing a very sound roadmap towards financial self sufficiency and future growth and prosperity. And we believe that we’ve made very good progress in the past few months on this plan, on developing and then implementing parts of this plan. We want to get ourselves obviously to profitability as soon as possible. We want to pay off the debts that the Company has incurred and we believe that we will. And we want to have equity available, so that we can continue to grow this business and grow it even faster than we have in the past. And I can’t go into any details but I can say that we have over the last year and over the first quarter, continued to make progress on that plan. The second thing is that we are committed to expanding our sales and marketing capabilities. We are putting on ads to look for marketing and sales people to help us grow Pressure Bio. We believe we have the commercial instruments and consumables available. We believe that the market is there. The one thing that’s -- two things that are hurting us, one is we have a very little capital, so we’re not able to do as many things as we want in terms of active marketing and selling; and two is we have a very small marketing and sales team, primarily Dr. Nate Lawrence heads up our sales, marketing, business development, scientific affairs and many things in that area and we have Roxana as our only fulltime salesperson. And so we’re very limited on what we can do internally. So, we are advertising. I will be going to the Bio meeting in Philly. We have committed to sending out the positions that are open. We look to hire right now. We’re hoping to hire this year three sales people and two marketing people. And we have got advertisements out. And I’m looking forward to June 18th, I believe it is where we’re going to be talking to people that may be interested in joining and helping us grow and growing with us in our marketing sales capabilities. And third, our biggest meeting of the year has always been the American Society for Mass Spectrometry. Recall that the mass spectrometer is a very large instrument that is very esoteric and it’s the gold standard on how you can read a protein and understand the makeup of a protein. And there are, we believe 7,000 labs, based on everything we read in the country, they have at least one mass spectrometer. We also believe that our system in front of a mass spectrometer can make the mass spectrometer better. And so we’re going to the American Society of Mass Spectrometry as we have the last three or four years, we expect papers will be presented there on our technology. The one thing is different that we’re extremely excited about this year is not only do we have an exhibit booth but we’ve also got a suite, the hospitality suite. We’re bringing all five of our instruments or four of our five instruments and we’re bringing them to St. Louis. We have a suite for three nights. We’ve already started setting up meetings throughout the day. The suite is open from 8 p.m. to midnight for everybody and we’re talking 7,000, 8,000, 9,000 attendees to come in and visit with us and take a look at the instrumentation. And during the day, we are already setting up meetings for people to come up that we want to talk to about strategic partnerships; we want to talk about having them at customers; we want to have talk about collaborations. And so we are going whole hog into this. And this is the first three or four days in June. So we are very excited about the ASMS meeting. So overall, I think we are clearly on the path we want to be. We have given guidance that we believe that through a combination of the grants but also increased revenue from our product sales and our services that we will approach equal or even exceed $2 million in revenue this year from the $1.3 million last year, a hefty jump. We feel we are well on the way to that and that we are well on the way to getting closer to what we want which is to get to profitability. So Manny, I am done. I would like to turn it over now to you to open it up for any questions.
Operator: Certainly. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions]. Thank you. The first question is from Alan Stone of WallStreet Research. Please go ahead.
Alan Stone: Hi Rick. Congratulations on the record quarterly revenue. And it was good to see you last week. I wanted to get a little more elaboration. I see that you gave guidance of about $2 million of revenue for the year and how you kind of see that rolling out. And I know with the new products that you’ve got lined up that should be tremendous for the company. So maybe, you can just comment a little bit about your plans for the -- enhancing the revenue growth?
Richard Schumacher: Absolutely, Alan, nice seeing you again last week. We expect revenue to grow in both, obviously in the area of our grant revenue. We had no grant revenue last year, we had $80,000 in the first quarter that we billed and we expect that to grow. This is a $1 million grant that roughly little over $1 million and it’s over a two-year period, generally over two-year period unless you ask for an extension. So clearly we’re going to have…
Alan Stone: Is that going to kind of be fairly even over the next eight quarters?
Richard Schumacher: I don’t think so, no. I expect that that number should continue to rise like any new project; it’s a lot to get it going. So, I would not see a lot. Don’t expect this to double in the second quarter. But this should -- we should be at or over 100,000, I would think, 80,000 to 100,000, we should for the second quarter and then maybe even a little bit more for the third quarter. So that’s not going to get us. Obviously we do the math; that doesn’t get us to $2 million. So what I want to make clear is we expect to increase our product sales this year. Last year, they increased by 30%; the year before I believe is around 20%. We expect to increase our product sales. Some of that is going to come from just the fact that we have more products this year than we had last year. Some of it is going to come from the fact that we will be hiring a sales team. We are doing this without a big sales team. We have a sales team. We have Nate Lawrence, we have Roxy, and we have part time help from a gentleman named Jose Lanuza who is out on the West Coast, who is retired and helps us, part time. We need to buff that up and we are going to do that Alan. So I would expect that it’s going to be a combination. It’s certainly not going to be all grants. We’re going to have to supplement whatever we do in grants with increases in our products. And we expect we will do that. We are very excited about the products we have available this year that we didn’t have last year which are the HUB880, the micro-Pestle or the PCT-HD and the new high throughput system, very excited about those. And those we believe will sell. And then we add to that the addition of five people throughout the year who will have some impact. Their major impact will be next year but they would definitely have some impact this year. So, things are exciting for us right now, Alan, as I think you know.
Operator: Thank you. [Operator Instructions]. The next question is from Grant Zeng of Zacks. Please go ahead.
Grant Zeng: Hi Rick. Congratulations on the successful quarter, there is record revenue for the quarter. And actually I am not concerned about the temporary decline over the product and the service revenue because I can see clearly the growth trend in the past few quarters for the product and the service revenue. And my question actually is related to the HT48 new product. Can you give us a little bit more color on the update of the evaluation and also any update on the partnership of funding for this product; and also do you have any plan to sell this product outside the U.S.?
Richard Schumacher: These are good questions. Thank you Grant. More enlightenment on the HT48. We now have built seven systems. We had hoped to have built all 10 systems by now. But as a small company with limited resources and other areas such as the PCT-HD, we needed to take our limited resources and put them in different areas. We also have in addition to the three systems that were out, we have the other three now that are all either in or almost ready to be shipped for evaluation. These evaluations are very important as you know as well as anybody, Grant. The best way to sell something new, something that shifts the paradigm, something that hasn’t existed before is to bring on the key opinion leaders and get them on board. And once they are on board, many others will follow. That’s how we successfully started with PCT five years ago, five or six years ago. So we’ve done that. We now have placed one instrument in one of the leading laboratories in the world which is in Europe. I am not at liberty right now to give the name but it is one of the leading laboratories in the world, we are very excited, it’s been placed. They have been trained and now they are going to start running, and they have already started to run samples. We have another system that is ready to be sent or actually has already been sent and will soon be tested by one of the leading pharmaceutical companies in U.S., very excited about that to have this group who have always said they wanted a high throughput system. Again, I apologize I am not at liberty to give the names of these groups but it is one of the top pharmaceutical companies in the U.S. And we have a third system that is going to be going into a smaller pharmaceutical company that is actually working in some very exciting areas that could really open up the system to new areas if they are successful. And the initial data came out extremely good, no guarantee that the follow on data will but the initial data were about as exciting as one could hope for. And so those three systems, one is in and running, one is in and about to be running, and one is about to be shipped. So, there is the next three. And then the seventh system is a system that we’re taking with us out to the Mass Spec meeting in St. Louis. And the last three, we are working on. And I guess we’re disappointed that all 10 were not made and out by this time but on the other hand, we’ve had other things that have been selling well that we put some effort into. And we’ve learned a lot from the first evaluations and we’ve made some changes that are making the HT48 even better. Nothing major, but a number of things to just make it a better system easier to use. In terms of selling this in Europe, we’ve made a major change. We’ve brought in a person who is an electrical engineer and we know that we need to get this CE marked. So, we’re in order to sell this, like we sell our Barocycler, our existing ones in Europe, we need a CE marking and we are already on that path. We have -- we know that one of the weaknesses we had was in the wiring of the system. And so that is pretty much all been revamped in the last four to six weeks because you’ve run into superb electrical engineer who’s been coming up and rewiring the whole system for us, so very excited about the rewiring of this and the other work that we’re doing. So our expectation is to get CE marking this year. We’ve already had two or three requests from Europe where people want to purchase or at least run the system and we’re being held back because it is not CE marked. But there’s plenty of business in the U.S. we believe before. So yes, it might be the end of the year before we can actively sell in Europe and our distributors can sell in Europe, but in the meantime, we’ll be building the system to the enhanced specifications and selling the system within the U.S. So, I think I’ve answered your questions, did I miss anything, Grant?
Grant Zeng: Thanks great, thank you. I’m confident, the company is in a great position to [indiscernible].
Richard Schumacher: Well Grant, having you comfortable makes me comfortable because I respect you a great deal. I know you’ve been writing not just for Zacks but for others and you’ve written on a lot of other companies including some big ones in the sample preparation field. So, you are not just an analyst but you’re an analyst that understands the area that we’re in. So, it’s always comforting to me if you’re comfortable with progress.
Operator: Our next question is from Jeffrey Scott, a private investor. Please go ahead.
Richard Schumacher: Hi, Jeff. The tough question, because I didn’t hear it. Manny, I think there is a speaker issue.
Operator: He might have been muted. In the meantime, we have another question from Alan Stone, please go ahead.
Alan Stone: Rick, I think you mentioned that you’re going to be presenting soon in Warsaw, at the conference, the healthcare conference that Vojack [ph] is running with WMD Capital. And I just wanted to know the dates of that and what’s your, whether you think there might be a potential for getting some buying power coming out of the European market as a result of that?
Richard Schumacher: Yes, I neglected to mention that before; I saw you, I was in San Diego. There was a press release went out on May 8th, Pressure Bio was invited. We were selected to present at the Cavendish Global Health Impact Forum. I’ll read very quickly from the co-founder and CEO of Cavendish. He said the theme of our La Jolla, California Forum is a ‘Celebration of Philanthropy, Impact Investing and Innovation that is Changing the World. With the help of our expert advisors, we conduct a global search of research institutions and private-sector companies in order to identify organizations that meet the required standard of excellence. The quality and originality of Pressure Bio’s research and scientific insights in the important area of sample prep, a key part of human, animal, plant and microbial research programs worldwide, positions them to make major contributions to many important fields of the life sciences. That came from Mr. Moffat, the co-founder. So I presented, met a lot of people, had a wonderful meeting in San Diego, three days along with Jeff Peterson our chairman. I met some amazing people that we believe can really help us on the financial ends, on the operational end, on the growth end is a wonderful compass. I’ve also been invited as I was last year, to present on the floor of the Warsaw Stock Exchange. This is June 11th, so I will be leaving the ASMS, heading home for a day and then heading over to Europe. We are meeting with investors in Zurich which is the home of Dr. Aebersold and Dr. Guo, I’ll be visiting them in Zurich in their lab and then visiting with investors in Zurich on the 9th and the -- on the 8th and the 9th and 10th going to Warsaw. And on the 11th, I’ll be presenting at the Third Annual Life Sciences conference on the floor of the Warsaw Stock Exchange. I’m doing this because there is, I believe a lot of interest in the company in Europe and particularly there’s a lot of interest in financial interest in Warsaw. And so I’m very pleased that we were invited to present again this year. I am looking forward to it. And yes, just like stopping in Zurich, I think is very important. There are people there that want to meet with us that they want to learn more about Pressure Bio and how they might be able to participate. There is also a great deal of interest in Pressure Bio from a modally crew of people in Poland, particularly in Warsaw, so looking forward to that too. I believe that that week is going to be a very powerful week for Pressure Bio.
Alan Stone: Good luck with that. Any possibilities of a listing there or potentially for an offering if there is some significant demand for the shares of the Company?
Richard Schumacher: I am not going to comment on that. There is certainly a possibility for all of that but I think that’s not the reason we’re going. We’re going because there is a lot of interest from financial and scientific folks there to meet with us eyeball to eyeball. Did we get Jeff back on the line Manny?
Operator: Yes. Mr. Scott, you’re now live. You can go ahead. Your phone maybe muted on your end.
Unidentified Analyst: On the last call, we talked about China as a market; can you talk about anything that’s happened over the last month or so?
Richard Schumacher: Part of the product revenue that came in the first quarter came from China. And Dr. Lawrence has done a bang up job of working with these folks, so our distributor in China. So, it’s often times you set up a distribution and then you wait for them to go out and start selling and you got to wait three or six months. We set this up in October, November, and in the first quarter we had sales to China. And I can tell you that there is a number of things. This is a very large prestigious group that we have partnered with Jeff. And I am expecting this to be a very positive for the rest of this year. I don’t think one or two sales in the first quarter to China is going to be the end of it, at all.
Unidentified Analyst: In the last call we’ve talked about specific numbers of units that would be going to China. Is there any reason to either increase or decrease that number?
Richard Schumacher: Not yet; it’s still early in the game. But the good news is we did have sales to China in Q1 and I can’t promise you anything in Q2, but we certainly expect to have sales to China this year, growing sales of China. I think they’re going to be a very good distribution partner for us. It’s a big country with a lot of life science activity and they have a very good understanding of the power of PCT.
Operator: [Operator Instructions]. Okay gentlemen, we have no further questions at this time.
Richard Schumacher: That’s awesome, I appreciate good questions today. We’re making -- we believe we’re making very good -- we believe we’re right on target for a very good year as we’ve given guidance. There is obviously never any guarantee but we certainly see like we’re on target to, to do what we say we’re going to do which is to expand our sales, expand our revenue, expand our sales force, expand our capability. So, appreciate everybody taking time out of your busy day and look forward to everyone being on this call when we talk again after the Q2. Thank you again.
Operator: Thank you, ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.